Operator: Good day, and welcome to the Superior Industries Second Quarter 2014 Earnings Teleconference. For opening remarks, I would like to turn the call over to Mr. Kerry Shiba, Executive Vice President and Chief Financial Officer. Please go ahead, sir. 
Kerry Shiba: Thank you, and welcome, everyone, to our second quarter 2014 earnings call. It's a relatively interesting day in the markets today, so I appreciate everyone who is taking the time to join us. 
 During our discussion today, I will be referring to a PowerPoint presentation, which is available on our website at www.supind.com.
 Joining me on the call today is Don Stebbins, our President and Chief Executive Officer; and Mike O'Rourke, our Executive Vice President in charge of sales, marketing and operations. 
 I will start as usual with Slide #2 of the presentation, where I would like to remind everyone that any forward-looking statements made in this webcast or contained in this presentation are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results could differ materially because of issues and uncertainties that need to be considered in evaluating our financial outlook. We assume no obligation to update publicly any forward-looking statements. Specific conditions, issues and uncertainties that may be discussed from time to time are noted in detail on the slide. 
 I also would like to point you to the company's SEC filings, including our Annual Report on Form 10-K, for a complete discussion on forward-looking statements and risk factors that may cause actual events to differ from these forward-looking statements.
 In addition, today, I would also like to note that our focus is going to be on results for the second quarter. Accordingly, we will not be discussing the proxy contest we are in the midst of in connection with our upcoming 2014 Annual Meeting. We also will not be addressing any questions regarding the proxy contest, so I would appreciate you respecting this during our Q&A session. Nonetheless, we of course will be happy to address questions you may have regarding the second quarter or other matters we will discuss on the call. 
 Before we begin the discussion of results for the quarter, I first would like to turn the call over to our new President and CEO, Don Stebbins, who will have some opening remarks on this, his first earnings call with Superior Industries. Don? 
Donald Stebbins: Thanks, Kerry. Good morning, and good afternoon. Thanks to all of you for joining us today. As Kerry mentioned, this is my first earnings call with Superior, having joined the company on May 5 of this year. My first 3 months on the job have been enlightening, with no significant surprises. As I understand the landscape, I am working with the Superior team to develop our path and how best to leverage our strengths to take the company to the next level. With the support of our board and management team, board decisions have already been made toward further strengthening the company, better aligning its cost structure and positioning it to grow and compete in today's price-sensitive global marketplace, all with an ultimate objective of further enhancing returns for our shareholders. 
 I'd like to take a few minutes to give you an overview of my early observations at Superior and provide some color on yesterday's announcement to close our Rogers plant, along with some strategic initiatives that we are progressing on. Then, Kerry will review the second quarter financial performance and we'll both be available to answer questions. 
 From an early observation perspective, first and foremost, it is clear that there are significant intrinsic value within this company, based in large part on the Superior brand name, which is well known and highly respected by our customers throughout the industry. 
 Superior, as you know, has a leading market share in North America and the credit for that achievement must go to the solid foundation built over the past 50 years by Louis Borick, who founded Superior, and Stephen Borick, who was the CEO since 2005 and retired in March of this year. So I am in the fortunate position of starting from an excellent base with an experienced Board of Directors and management team. 
 Over the past 3 months, I visited our facilities, met with our customers, suppliers and shareholders and gained valuable insight into Superior's strengths as well as the challenges we are facing. We are well in our way to developing both a short- and long-term strategic plan with critical near-term operational goals of addressing our factory cost to improve margins and better position Superior to compete in the global marketplace. As part of that plan, the board and management team are moving quickly and decisively with actions to move Superior forward. One example of which was yesterday's announcement to close our manufacturing plant in Rogers, Arkansas. After a comprehensive review, we determined that it would be highly unlikely to reach the necessary level of competitiveness at this plant, even with investments to upgrade the equipment and facilities. So we came to the conclusion that closing the facility was the most prudent and cost-effective measure for us to take. 
 We will begin the process of shifting production at Rogers to our other plants and anticipate generating year-over-year labor cost savings of approximately $15 million. These are always extremely difficult and unsettling decisions. And we are assisting our employees with the transition process. Kerry will provide some additional financial information related to the closure in a couple of minutes. 
 In addition, our strategic priorities also include fostering a culture of innovation and technology that will help us stay a leader in the eyes of our customers. We'll also continue, as Superior has done for many years, to return an appropriate level of capital to shareholders through dividends and share repurchases. And as always, we'll be evaluating all opportunities to enhance Superior's prospects and shareholder value. 
 Moving forward, we plan to keep everyone well apprised of our activities to execute our plan. Toward that end, we will play a more active role with investor communications, including greater participation at investor conferences and regular informational visits with analysts and investors. 
 Thanks, and I will now turn the call back over to Kerry for the financial review of the second quarter. 
Kerry Shiba: Thanks for the comments, Don. And as Don mentioned, as usual, we'll be able -- happy to address your questions at the conclusion of the formal presentation. 
 So with that, let's begin the detailed discussion of the second quarter. We're going to follow the same format as the last call by starting with a very brief overview intended to set overall context. If you would like to refer to the data, Slide #17 shows the summary income statement for the second quarter. 
 You may recall from our last conference call that first quarter unit sales volume and total revenues both were quite soft when compared to the same period of 2013. 
 The first quarter ended with unit volume down 8% while total revenues were 11% lower. In contrast, second quarter unit volume was at plus 8% and revenues were flat when compared to the same quarter of last year. 
 However, while the Q2 comparison was improved, our expected sales comparisons for the third and fourth quarters to remain challenging. I will discuss later the factors we currently see affecting us in the second half of the year. 
 The gross profit margin declined modestly by 30 basis points from the same period last year while earnings comparisons were down the remainder of the year -- income statement. And I will discuss these items individually further in just a few minutes. 
 With this brief overview in mind, if you would please turn back to Slide #3, I will begin the detailed discussion of our second quarter financial results and some of the key underlying factors affecting the business. 
 Slide #3 is where we frame the market environment in which we operated and is titled North American Vehicle Production versus Superior Shipments. Let's first take a look at North American light vehicle production, which is shown in red in the graph at the top of the slide. As most of you know, North American vehicle production provides a broad indication of the demand driver for our products. 
 As usual, I will also provide some perspective on customer product mix in the next couple of slides in an effort to help you understand any distinctions between the overall market and our specific performance. 
 The market reached 4.4 million units of vehicle production in the second quarter of this year, up 3.7% over what was also a strong quarter 2 of last year. To find a stronger quarter, you have to go all the way back to Q2 of 2002. The second quarter also increased on a sequential basis, up 4.8% over Q1 of this year. 
 As noted during the overview, Superior's first quarter unit sales volume was up 1% year-over-year. Against the growing market, we lost an estimated 70 basis points of share compared to Q2 of last year. I will speak more about this in a few minutes. 
 If you would now please move to Slide #4, we will take a look at the production analysis by major customer. The chart on the left shows our top 5 customers individually, with the remainder of the OEMs grouped together in the last set of bars. 
 For each customer, we will provide year-over-year production volume comparisons for the quarter, including a product category breakdown between light trucks, which are shown in blue, and passenger cars, which are shown in red. To remind you of the total industry context, total production was up 3.7%. I'll share some observations regarding our major customers in just a moment. 
 However, I first would like to point to the chart on the right, which shows the year-over-year change in vehicle assembly mix for North America. What quickly stands out is the growth rate in the light duty truck category, which eclipsed 10%. As a reminder to you, the light truck category includes SUVs, crossover vehicles and vans, in addition to pickup trucks. 
 In contrast, the second quarter build rate for passenger cars declined over 4% when compared to the prior year. It doesn't show on the slide, but the mix between domestic and the international brands shifted about 1 percentage point toward the domestics. 
 The remainder of the slide shares a few key observations regarding our major customers. Ford is the #1 customer in our portfolio. Assembly rates for Ford were down 2.6%, the only decline for the domestic brands. A significant decline in passenger cars masked a nice increase in the light truck category. 
 Our focus at Ford is tilted towards light trucks, so their shift in category mix helped our overall position in Ford. Commentary on the slide provides some details about the major programs driving the change, which I won't read individually. 
 GM is our second largest customer. Their Q2 production rate was a plus 6% overall when compared to the same period last year. The improvement primarily occurred in the light truck category at plus 10% on the K2XX platform. Passenger cars were up much more modestly at just under plus 1%. 
 Chrysler's overall rate of production increased well above the industry rate at plus 11%. Vehicle mix shifted rather dramatically, the result of a 22% decline in passenger cars, coupled with 24% growth in light trucks. We are concentrated heavily in the light truck category at Chrysler. 
 Production for the international brands in aggregate somewhat mirrored the overall market with assembly rate increasing 2.6%. At Toyota, our third largest customer in unit sales volume, production was up 2% overall, primarily in light trucks. 
 For other international brands affecting Superior, Nissan was up a significant 19%. While about 2/3 of the vehicle mix at Nissan is focused on passenger cars, the rate of first quarter growth in light trucks was over 3x greater than for passenger cars. The change of BMW was greater than for the overall market at plus 7%. While production at Subaru and Volkswagen declined 5% and 12%, respectively. 
 Turning to Slide #5, which is titled Superior Shipments Year-over-year Comparison. Let's take a look at what drove the company's unit volume change when comparing the second quarter of 2014 to the same period last year. 
 We are using the same chart format as just shown, except now the focus is on Superior's unit shipments to our customers. As I noted earlier, the first quarter of this year started very slowly for us in terms of sales and unit shipments. The year-over-year sales comparison improved in the second quarter, as we ended up at plus 1% in terms of unit volume shipped. As I mentioned earlier, we estimate the resulting year-over-year share decline to approximate 70 basis points. 
 The business we are seeing today largely was competed for 2 to 3 years ago, the time when our then-existing manufacturing capacity limitations resulted in us being more selective regarding the capture of new business. 
 Overall, shipments increases to Ford, GM and Nissan largely were offset by declines to Chrysler and Toyota. While it is difficult to discern from the chart, our second quarter sales mix between domestic and international brands was unchanged when compared to the prior year. 
 One last overall observation can be seen in the vehicle mix comparison shown on the right. Our volume was up modestly in both the passenger car and the light truck categories. 
 Now let's take a look at our individual customers. For Ford, our volume was up 4.6%, with the increase occurring in the light truck category across several programs, as noted on the slide. The largest increase was for the F-Series. As most of you know, Ford will implement a rather substantial model changeover with the F-Series later in 2014. As more clarity becomes apparent regarding this change, our current expectation is that our F-Series volume will be softer in both the third and fourth quarters, based on announced shutdown schedules at the assembly plants. This is important to note because the F-Series represents the largest single program in our portfolio. Our 4.8% decline in passenger car volume for Ford was well below the almost 17% rate of decline in the vehicle assembly rates. 
 At GM, we were up about 4% overall. Our unit volume increase was higher for passenger cars, primarily on the Chevy Volt. For light trucks, we were at plus 2% with growth for the Cadillac SRX and the K2XX platform. 
 At Chrysler, we experienced declines for both light trucks and passenger cars, although the light truck decline is more meaningful based on our focus in this area at Chrysler. Our lower volume on the Dodge Journey and Caravan reflect trim line changes in the vehicle mix that affected us. We had nice growth on the Chrysler Town & Country and the Dodge Durango. 
 The year-over-year decline at Toyota was 11.5% overall. The largest decline was for the Avalon, a program where assembly rates were down significantly for the second quarter in a row, when comparing to 2013. There were some launch -- search for the redesigned Avalon during a great portion of 2013. A 2% reduction in volume for light trucks primarily reflects decline for the Venza, which masked increases for the Highlander, Tundra and Sequoia. 
 We were up again nicely with Nissan at plus 18% overall with percentage growth almost equal in passenger cars and light trucks. However, with our focused primarily on passenger cars at Nissan, about 86% of our unit volume increase was in this category and driven by 2 programs, the Note and the Maxima. 
 If you would now turn to Slide #6, we can look at the sequential volume sales comparison. The changes going from Q1 to Q2 of this year tell us a bit of a different story for both the market and Superior. Let's start with the context of what happened in the market. Second quarter assembly rates were up at very healthy 4.8% on a sequential basis, about a full percentage point better than for the year-over-year comparison. The production growth rate was higher for light trucks at plus 6.4% than for passenger cars, which were at plus 2.7%. The mix between domestic and international brands shifted about 100 basis points in favor of the domestics. 
 You can see from the specific comments that most of our larger OEMs increased production. Toyota's increase was the highest at almost 12%, with Chrysler at plus 10%. Of our largest customers, only Nissan was down and only less than 1% overall. 
 Now let's take a look at Superior. Our unit volume increased a rather substantial 5.4%, going from the first to second quarter of this year. Our growth entirely was in the light truck category. We experienced increases at virtually all of our largest customers, with individual changes in programs noted on the slide. We are pleased with the improvement. However, as I mentioned earlier, you will recall that unit volume in quarter 1 of this year was a relatively soft point of comparison. 
 As I noted earlier in the presentation, I expect the sales comparisons for the third and fourth quarters to remain challenging. This outlook involved a few programs. But the most significant expected second half decline is related to the timing of the Ford F-Series start-up, the largest single program in our portfolio. 
 I next would like to turn to Slide #7, which focuses on net sales dollars and a year-over-year comparison for the second quarter. The slide is in the familiar format used in the past, so I will move right to the data. As usual, I will focus only on the larger items. At the very top of the table, you can see the 1% volume increase. This change is consistent overall with a flat comparison sales dollars, which is shown on the second line of the table. 
 The remainder of the data breaks out individual components of the sales dollar comparison. As you can see in a quick glance, there really isn't that much of substance to discuss for the second quarter comparison. The largest variance is lower aluminum value with minus $2.1 million, shown in the bottom section of the table. I also would comment that price/mix was positive. But it is tapering off. 
 If you would now please turn to Slide #8. Let's review what happened with gross margin. As I discussed earlier during the overview, gross margin declined $500,000, which equated to 30 basis points from -- measured as a percentage of sales. When you look at the waterfalls analysis on Slide #8, you can see that the volume impact was negligible, which is to be expected. The impact of product mix was positive for the quarter at plus $2.6 million. This change is quite a bit larger than what we just saw in the sales comparison. Keep in mind that gross margin analysis also brings cost into the comparison. 
 For the current year, the mix reflects a higher proportion of products, so they're higher margin due primarily to being lower in cost rather than higher in average price. 
 Foreign exchange impact reflects some relatively minor weakening of the Mexico -- Mexican peso compared to last year, which lowers our reported cost for the Mexico business. 
 The next 2 items relate to aluminum. The first item labeled aluminum pass-through has been discussed on prior calls and very basically reflects a difference in timing between metal value moving through sales versus moving through cost of sales. For the second quarter, the impact was $300,000 favorable. 
 As first highlighted last quarter, the next item addresses an aluminum component labeled alloy cost increase. Let me again provide some background to refresh your memory. As the standard in the aluminum wheel industry, a special aluminum alloy is used in the product. This alloy carries a price markup over the cost of commodity aluminum, primarily to reflect the value for extra alloy in materials included in the metal. The cost we pay for the alloyed premium has increased in 2014 for a variety of reasons. Looking at the sales side, the periodic aluminum adjustments just discussed typically are based on movement in published price indices for commodity aluminum, which does not track changes in the alloyed premium. So what we have highlighted is $1.7 million cost increase that we expect will not be fully recovered based on the structure of our existing sales agreements. To refresh your memory, the negative variance in Q1 for this item was $1.4 million. 
 The next item is labeled plant performance. This item fundamentally measures the change in manufacturing cost performance from period to period. This item also excludes the impact of any operating cost items listed separately, for example, foreign currency translation. 
 In aggregate, we estimate the year-over-year change in plant cost performance at a net $2.7 million negative. The Q2 variance reflects a mix of factors, but primarily reflects a negative trend at the Rogers, Arkansas facility. The Rogers variance was due to high manufacturing scrap rates and poor cost absorption due to volume declines at that plant. We did achieve improved performance at our other U.S. facility in Fayetteville, Arkansas. 
 We remain very pleased with the overall manufacturing performance being achieved in our Mexico operations. However, we continue to focus on improving overall flexibility to allow us to keep our Mexican plants filled in order to leverage lower cost and improve in operating efficiencies. 
 As a final note on this slide, capacity utilization in the first quarter was at an estimated 95%, higher than in Q1, but lower than in the prior year. 
 Please now turn next to Slide #9, which provides a sequential comparison of gross profit performance. Reflective of the sequential increase, the volume impact was at plus $1.4 million. 
 I'm going to jump over to aluminum pass-through variance, which was $1.4 million negative, when compared to the first quarter. This variance primarily reflects the benefit to Q1 of lower purchase cost from 2013 that came off the balance sheet during the quarter. 
 The sequential plant performance impact was positive $1.5 million, which is markedly different from what you saw in the year-over-year comparison on the last slide. As I spoke about last quarter, the Q1 volume falloff was rather sudden and was reflected in poor sequential cost performance for Q1. 
 For Q2, while the year-over-year performance trend reflected operating struggle at the Rogers facility, the 5.4% sequential volume improvement in general still led to improved cost performance when compared to the prior quarter. The improved operating environment also was reflected in the 200 basis points increase in capacity utilization rate. 
 Moving on to Slide #10. We can address a couple more areas of the income statement for the quarter. SG&A expense was up $197,000 compared to Q2 of 2013. The increase reflects higher cost for professional services, legal fees and stock-based compensation. Also affecting the comparison is cost for our Mexico customs settlement that occurred in 2013. 
 Foreign exchange line moved $493,000, unfavorable to a $174,000 loss in the current year second quarter from a $319,000 gained last year. 
 In Q2 of this year, the modest gain reflects a slight strengthening in the Mexico peso, coupled with its being in a net peso liability position in Mexico. For the prior year, the gain reflects the exact opposite situation as the peso weakened while we were in a net peso asset position in Mexico. 
 The effective income tax rate for the second quarter this year was almost 42%, which compares to approximately 32 -- I'm sorry, 36% for the last year. 
 Individual factors affecting the quarterly comparison are noted on the slide. So you are aware, the increase in effective tax rate penalized us about $0.02 per share for the second quarter and roughly $0.05 per share for the first half. As usual, our effective tax rate may be affected by the occurrence of discrete events during any one quarter. 
 Please turn next to Slide #11, which addresses the balance sheet and cash flow. These financial schedules are shown on Slide #19 and #20, respectively. Cash and short-term investments ended the quarter at approximately $130 million, a decline of about $31 million during the quarter. As expected, the decline largely reflects higher capital expenditures for the new manufacturing facility in Mexico, but also results from $7.5 million capital investment in existing facilities, $4.9 million of dividends and $11.1 million of shares repurchased during the quarter. 
 I will speak more about cash flow considerations in just a minute. I think the remaining balance sheet comments on the slide is self-explanatory, so I will not address them individually. 
 Moving onto cash flow. We have provided a breakdown of 2014 spending for the new factory and existing facilities. For Q2 of 2013, keep in mind that we have not yet started to flow cash for the new factory. 
 For dividends, I will again remind you that we have no payments in either Q1 or Q2 of last year because we accelerated the 2013 dividend payment into December 2012. 
 Finally, our stock repurchase activity continued through the second quarter and into Q3. In the second quarter, we bought back 560,000 shares for $11.1 million. Through July 30, we cumulatively have transacted repurchases for $29.3 million worth of shares under the previously granted $30 million authority. 
 Next, if you will turn to Slide #12, I will update you regarding some key factors affecting our liquidity outlook. The major factor to keep an eye on obviously is the peso spending for the new manufacturing facility. Just to avoid any confusion, I'm going to focus my comments on cash, in contrast to what has been accrued based on the accounting being applied. 
 In 2013, we invested just under $36 million, the bulk of which was for the facility and infrastructure. Money, of course, has been flowing out for machinery equipment in 2014. In Q2 of this year, we invested another $23 million, bringing us to $40 million in total for 2014 and $75 million cumulatively for the project. 
 As we continue to update status, it continues to look like we will be able to bring the project in under original expectations, which were announced at the project kickoff as being in the range of $125 million to $135 million. Based on our current projection of total capital in the range of $120 million to $125 million, this leaves roughly $45 million to $50 million of capital spending still to go. We also continue to see that the bulk of the remaining capital outlay will be falling into Q3. 
 I want to remind everyone that we also expect to incur start-up costs in the range of $8 million, mostly in 2014, a portion of which will be capitalized. 
 As I also mentioned last quarter, we also will need liquidities to support a working capital build in 2015, after the plant becomes fully operational and we begin to produce for commercial programs. We currently estimate this need to be in the range of $20 million to $25 million as the plant comes to full operation. 
 With respect to the base business, you saw in the last slide that we spent $7.5 million in Q2 of this year. Our current range for the total year of 2014 is being updated to the $30 million to $35 million range. 
 For aluminum sensitivities, the Midwest Premium, fundamentally an up charge we pay over the price of commodity aluminum on the London Metal Exchange, is up 7.5 -- I'm sorry, $0.75 per pound over year end pricing. 
 Lastly, our dividend payment should approximate $20 million for 2014 at the current rate. 
 Please now turn to Slide #13 where we will provide a brief update on physical progress on the new manufacturing facility project. We also provided just a few photographs on Slide #14. The building is fully closed in and most of the infrastructure is complete. Most of the machinery and equipment is installed and is in the process of testing. The photographs show casting ducts on the left, part of the heat treat operation in the middle and construction of buoys for the paint system on the right. 
 We expect physical completion of the project during the fourth quarter, which will allow the entire manufacturing process from start to finish to be tested, debugged and fully commissioned. Much of the testing and start-up process already is taking place for installed equipment. 
 We estimate that limited commercial production will begin in the first quarter from 2015. As I mentioned previously, we currently expect the range of cost for fixed capital to be $120 million to $125 million. 
 As we have commented before, we have provided infrastructure also to allow for an incremental expansion of the new plant up to 500,000 wheels per year of expanded capacity. 
 Next, if you would now please turn to Slide #15, I will briefly review our decision to shut down our manufacturing facility in Rogers, Arkansas. Don covered much of this. But I will -- so I will be brief. The Rogers plant is one of our older facilities, originally built in 1989. The straight-time plant capacity is approximately 1.75 million wheels per year. As I mentioned earlier, we are anticipating some volume softness in the back half of this year. These volumes are allowing us to take this action during 2014. 
 Don previously noted the expected net labor savings and the number of employees that will be affected. Severance costs are expected to range from $2.0 million to $2.5 million. 
 We still have not yet estimated asset-related charges, which could involve both accelerated depreciation and impairment write-downs. The net book value of fixed assets at Rogers is about $22 million. 
 There likely will be other costs involved. For example, the disassembled good equipment that we intend to move to other facilities. On this point, reallocating certain assets to other facilities is likely to provide a benefit that is rather substantial for capital avoidance, including to expand a new plant in Mexico from 2.0 million to 2.5 million wheels per year of capacity. 
 Our summary and concluding points are on Slide #16. I'm not going to read the list of bullet points, as I just covered them in the presentation. 
 Our Form 10-Q for the second quarter 2014 will be filed later today with the SEC. And once filed, the 10-Q also will be available on our website at www.sup.com (sic) [www.supind.com]. 
 So with that, I would like to thank each of you for attending our conference call today and we'll now open the line to take questions. So I'll turn it back to you, Amy. 
Operator: [Operator Instructions] And our first question will come from the line of Mr. Mark Close from Oppenheimer. 
Mark Close: Just a couple of kind of quick questions. One is, Kerry, do you have a sense of where the full year tax rate is going to end up? I realized there's some moving parts there that you may not know at this point, but ... 
Kerry Shiba: I would be projecting in the low 40s at this stage. The wild card out there, the biggest wild card, the card out there, Mark, is if the R&D credit at the federal level gets reinstituted before the end of the year, we'll recognize that discreetly in the quarter it happens. Obviously, we can't predict -- it's being discussed in Congress. But who knows when we can see that. 
Mark Close: And on Rogers and the start-up of the new plant in Mexico, Rogers is now producing I think in the vicinity of 400,000 to 420,000 a quarter. And it would seem to decommissioning. I mean, I'm not sure kind of sales dropoff are you thinking about in the second half, but with utilization at 95% in the last quarter, how is that going to work in terms of having enough capacity to meet demand until the new plant really gets humming? 
Donald Stebbins: I guess -- this is Don Stebbins. As we look at 2015 and if we assume that the new plant will be on average, running for the year at 60%, that will put capacity on a straight-line basis for the remaining facilities right around 100%. So the math works, we've mapped out the moves from Rogers into each of the facilities. So for 2015, again, we'll be right around 100%, given our projections of what volumes will be. 
Mark Close: Is it going to be a gradual slowdown at Rogers? Or is it 1 day you're just going to turn off the lights, I mean, over the next couple of quarters? 
Donald Stebbins: Our expectation is that we'll close before the end of the year. 
Kerry Shiba: And we'll run it pretty hard between now and the end of the year. If anything, Mark, we'll try to build some -- prebuild some inventory to cover any risk for the transition period. 
Mark Close: And in terms of the changeover on the F-Series, do you have any visibility at this point about the new programs and what you'll be participating in and when that will start? 
Michael O'Rourke: Mark, it's Mike O'Rourke. Yes, we do, in terms of what's been sourced and what's been developed. We don't have a whole lot of visibility in how the trim line, specifically trim lines that we're going to participate on will be involved in the launch. That's something that we just have to kind of wait and see. But we are actively involved with Ford at the moment as far as continuing validation on tools and being prepared for the initial launch at Dearborn and then later in the first quarter of '15, the launch in Kansas City. 
Operator: There are no further questions at this time. I will now hand the call back over to Mr. Stebbins for closing remarks. 
Donald Stebbins: Many thanks to all of you for joining us today. We very much appreciate your interest in Superior, positive changes happening here, and we look forward to keeping you apprised of our progress as we go along the way. Thanks a lot. 
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.